Operator: Good afternoon. I'd like to welcome everyone to Repay's First Quarter 2024 Earnings Conference Call. This call is being recorded today, May 9, 2024. I'd like to turn the session over to Stewart Grisante, Head of Investor Relations at Repay. Stewart, you may proceed. 
Stewart Grisante: Thank you. Good afternoon, and welcome to our first quarter 2024 earnings conference call. With us today are John Morris, Co-Founder and Chief Executive Officer; and Tim Murphy, Chief Financial Officer. During this call, we will be making forward-looking statements about our beliefs and estimates regarding future events and results. Those forward-looking statements are subject to risks and uncertainties, including those set forth in the SEC filings related to today's results and our most recent Form 10-K. Actual results may differ materially from any forward-looking statements that we make today. Forward-looking statements speak only as of today, and we do not assume any obligation or intent to update them, except as required by law. In an effort to provide additional information to investors, today's discussion will also include references to certain non-GAAP financial measures. Reconciliations and other explanations of those non-GAAP financial measures can be found in today's press release and in the earnings supplement, each of which are available on the company's IR site. With that, I will now like to turn the call over to John. 
John Morris: Thanks, Stewart. Good afternoon, everyone. Thank you for joining us today. Our Q1 results represent a strong start to the year as we aim to capture new payment flows, while enhancing client relationships with many value-added services. In Q1, we achieved organic revenue growth of 10%, organic gross profit growth of 11%, reported adjusted EBITDA growth of approximately 15% and reported free cash flow growth of 90% plus year-over-year, with each metric performing in line to our expectations. In Q1, we made progress on our 3 main strategic initiatives, which drive growth in 2024 and beyond. They include our go-to-market efficiency, client implementations and a focus on product. This progress further enhances our vast ecosystem of payment flows, which we have combined and developed over the past decade. We face clients value our ability to move money efficiently and easily as well as provide omnimodality and omnichannel services with our one-stop payment technology. In addition, our vertical-specific software network allows us to embed payments directly within their unpriced workflows, making the process seamless and secure to our clients. Consistent with the card networks, we continue to see growth opportunities across emerging verticals for debit card payments such as loan repayments, commercial payments in our B2B segment and new flows such as instant funding by Visa Direct and MasterCard. As we continue to strengthen our technical and go-to-market relationships with our software partners, we're excited about the multiyear growth opportunities across our consumer and business payment verticals. In Q1, consumer payments organic gross profit growth was 11%. Our strong performance in Q1 was a continuation of our growth algorithm, which includes growth coming from existing clients as well as signing new clients over the past several quarters. Our growth is also aided by the ongoing secular tailwinds within our consumer payments verticals and the continued ramp of recent large client implementations. We added many new clients to our network in Q1, including 15 new credit units, an acceleration from last quarter, bringing our total credit union clients to 291. We onboarded a larger credit union client during the quarter, which was one of the largest 50 credit unions in the United States. This partnership exemplifies our clients' continuous focus on the customers' digital experience where enhanced payment capabilities can relate to strong operating performance and ongoing membership growth. Credit unions and community banks are a great growth driver for Repay. As our vertical expertise and software integrations are a differentiated solution leading to a healthy sales pipeline to address the thousands of financial institutions in the United States. And during the quarter, we added another core software integration partner that specifically serves credit unions and banks further positioning us well for this opportunity. In addition, accounts receivable management continues to be an attractive vertical for Repay with multiple years of growth ahead. During the quarter, we signed one of the largest providers in the U.S. of outsourced accounts receivable management and loan servicing. We also expanded our software partnerships with Maxyfi, a provider of collections and accounts receivable management software for the lenders and collections. Through this integration, Repay's payment technology enables businesses to optimize and streamline payment collections directly within Maxyfi software. We added 3 partners during the quarter in the Consumer Payments segment and remain focused on strengthening our software partnerships, developing our sales pipeline and continuously improving our clients' experience. We remain on pace to go live and gain processing with the previously announced large auto-captive lender in late Q2 with a measured ramp throughout the second half of 2024. And lastly, in value-added services, our instant funding product continues to see great growth with transactional volume up approximately 33% year-over-year. And this product covers an incredible opportunity for our clients to differentiate themselves in the marketplace by delivering quick, convenient, secure funding experiences to their customers. And over the medium term, we are evaluating new areas of expanding these capabilities. We also had a very productive quarter in the Business Payments segment, which grew gross profit by 17% year-over-year. Gross profit growth was driven by our implementation teams converting strong sales pipelines into the live clients that began to ramp during the quarter. In AR, we remain focused on optimizing payment acceptance, which strengthening our client base through our direct sales team and ERP partners. Within AP, we grew our supplier network to over 279,000 suppliers while adding and enhancing integrations with several software partners during the quarter. In addition, we were honored to receive WEX's 2023 Smart Partner of the Year for our best-in-class partnership facilitating virtual card business-to-business payments. During the quarter, we signed many new clients across our verticals. In the hospitality vertical, we are now live with Resorts World Las Vegas, a fully integrated premium resort on the Las Vegas Strip and many new hospitality clients continue to onboard additional properties onto our AP automation and TotalPay solution. Our existing partnerships are driving new client wins within our healthcare vertical, including several regional healthcare systems located in Texas, Georgia and Maryland. We're gaining increased traction in building a healthy sales pipeline from recent software integrations such as Sage Intacct, Microsoft Dynamics, Quadient and inflow. We're winning new clients as we continue to enhance our existing integrations with auto dealer software partners, and we're developing new partnerships along the way such as EnergyCAP, a leading provider of utility bill and energy management software. With our partnership, energy clients can now rely on Repay's embedded accounts payable automation within their software ecosystem. And importantly, we are continuing to streamline the onboarding and implementation process while also focusing on increasing the digital payment volumes to our clients. A great example is Country Pure Foods, one of the largest manufacturers of multi-serve juices, plant-based beverages and frozen novelties in the U.S. Since recently onboarding Country Pure Foods, Repay's TotalPay solution has transformed their payment volumes from 100% paper-based to over 60% digital with 30% virtual card adoption rate that clear path 80% digital payment volumes. As you can see from our results, we have been able to grow Repay by expanding our services, leveraging over 266 integrated software partners, guiding our clients through a seamless onboarding process and constantly evolving our tech platform. As we look into the future, our platform continues to scale as we automate manual processes. The scaling of our platform and realizing the benefits from the investments we've made in sales, product and technology over the past several years will enable us to accelerate free cash flow conversion throughout the year and beyond. Lastly, our capital allocation priorities remain focused on creating value for our shareholders by investing into organic growth opportunities, while continuing to be open to accretive strategic M&A. Repay is positioned with a strong balance sheet to continue to grow profitably and accelerate cash generation throughout the year. We exited Q1 with solid execution and consistent seasonal trends as we embark on the remainder of the year. With that, I'll turn it over to Tim to go over our financials and our outlook for 2024. Tim? 
Timothy Murphy: Thank you, John. Now let's go over our Q1 financial results before I review our financial guidance for 2024. As a reminder, Q1 organic growth is calculated by excluding contributions attributable to the divested Blue Cow software business during 2023. In the first quarter, Repay delivered solid results across our key metrics. Revenue was $80.7 million, an increase of 10% on an organic basis over the prior year first quarter. Our business continues to benefit from strong performance in both card-based payment revenue as well as other value-added services such as Communication Solutions and Instant Funding, along with higher yields and business payments. Our Q1 results benefited from the typical tax refund seasonality. And a a reminder, revenue attributable to Blue Cow in Q1 2023 was approximately $1.2 million. In Q1, organic gross profit grew by 11% year-over-year. As John mentioned, our Consumer Payments segment reported organic gross profit growth of 11% in Q1, and our Business Payments segment gross profit grew by 17%. Blue Cow contributed approximately $1.2 million to gross profit in Q1 2023. First quarter adjusted EBITDA was $35.5 million, growing 15% year-over-year with 44% margins. Q1 adjusted EBITDA margins improved sequentially as we have maintained relatively stable SG&A costs on a quarter-over-quarter basis, while simultaneously working to align our sales, implementation and support teams throughout the year. First quarter adjusted net income was $22.4 million or $0.23 per share. Lastly, Q1 free cash flow was $13.7 million, representing 90-plus percent year-over-year free cash flow growth. Free cash flow conversion was in line to our internal expectations due to timing around net working capital and remains on track to accelerate throughout the year. Repay's net leverage at the end of Q1 was approximately 2.4x. We expect net leverage to naturally decline throughout this year from our strong profitability and cash flow generation, including any potential M&A. As of March 31, we had approximately $128 million of cash on the balance sheet with access to $185 million of undrawn revolver capacity for a total liquidity amount of $313 million. We paid a total outstanding debt of $440 million, is comprised of a 0% coupon convertible note, which we are aware matures in February 2026. Moving on to our thoughts for 2024. Our year-to-date results are driven by our growth algorithm of growth with existing clients, the full year contribution from clients that begin ramping during the prior year and growth from signed new clients. We are reiterating our 2024 outlook that we provided in late February. We continue to expect revenue to be between $314 million and $320 million, gross profit to be between $245 million and $250 million and adjusted EBITDA to be between $139 million and $142 million. We expect roughly 44% adjusted EBITDA margins and anticipate adjusted EBITDA to grow faster than revenue and gross profit during the year. We expect our free cash flow conversion to accelerate throughout the year with Q2 free cash flow conversion being closer to our full year free cash flow conversion target of approximately 60%. As a reminder, free cash flow conversion is calculated by dividing free cash flow by adjusted EBITDA. As we demonstrated in Q1, we plan to reduce overall CapEx spending, giving us the confidence to accelerate our free cash flow conversion throughout 2024, leading to free cash flow growth of approximately 60% year-over-year and sustained mid- to high-teen growth thereafter. Across the business, we are seeing the sales pipeline develop from our software integrations and partnerships, giving us confidence on a multiyear growth opportunity. The planning assumptions around our 2024 outlook remain consistent with the measured ramp of the previously announced auto-captive win starting in late Q2 and lapping the strong contribution from enterprise clients during 2023. Our quarterly cadence is comprised of Q1 being positively impacted from the seasonality of tax refunds, which rolled off in Q2 similar to prior years. Q3 and Q4 will benefit from the incremental contribution of our political media business in the Business Payments segment. Q2 free cash flow conversion is expected to progress towards our full year free cash flow conversion target of approximately 60% and free cash flow conversion is expected to accelerate throughout the year, similar to the quarterly cadence we saw in 2023. As you can see from our strong Q1 results of the full year 2024 outlook, we continue to realize the benefits from our investments in sales, product and technology over the past several years, leading to an acceleration in free cash flow converting during 2024. Our focus remains on profitable growth, refining processes across the business where we can scale through automation while also maintaining investments toward generation. I'll now turn the call back over to the operator to take your questions. Operator? 
Operator: [Operator Instructions] Your first question comes from Ramsey El-Assal with Barclays. 
Ramsey El-Assal: And forgive me if you commented on this, I was hopping back on a couple of calls. Adjusted EBITDA margins came in nicely ahead of expectations. What drove the beat there? And also just help us think through cadence through the remainder of the year? 
Timothy Murphy: Yes, we feel really good about that as well. As I mentioned, we had similar gross profit margins as prior periods, but we were able to manage SG&A and OpEx while continuing to focus on investing in growth. And so that management of costs led to expanding gross profit -- or excuse me, adjusted EBITDA margin. So we would expect that to continue in terms of the gross profit margin profile being steady, slightly expanding OpEx, only slightly expanding less in gross profit, which would lead to similar adjusted EBITDA margins for the rest of the year. 
Ramsey El-Assal: And then a follow-up for me. Back in March, there were some media reports about you guys potentially looking for private equity sponsor. Can you give us your updated thoughts on exploring strategic alternatives? Is that something that's in the playbook here? 
John Morris: This is John. Listen, we take our fiduciary responsibility very serious. We always have. I think you can see that with our ability to continue to drive our organic growth and execution, we think that's really great for shareholder value. We're going to continue to do that. We actually -- I think we exited '23 with solid execution for that year and then exiting our first quarter as we continue to guide for this free cash flow conversion, we think that at least our conversations with investors, that seems to resonate with them. And we're on our mission to help to drive that throughout our 2024 year. We think those are all things great for us for shareholder value, and that should be a positive thing. 
Operator: Next question on Sanjay Sakhrani with KBW. 
Steven Kwok: This is actually Steven Kwok filling in for Sanjay. The first one I have was just around now that you guys don't provide the volume growth anymore. Perhaps if we could just drill down a little bit on your expectations for each of the segments, like how should we think about the growth rates for the consumer versus the business payments as we progress through the year? 
Timothy Murphy: Yes. As we mentioned in the last call, we're no longer providing CPV guidance or CPV as a metric just because the business has become more diversified into noncard-based revenue streams like Instant Funding, Communication Solutions. And so we did have a strong quarter in terms of CPV and the take rate was healthy. It's just business, like I said, is diversified into different revenue streams and more value-added services. And so we -- in terms of segment take rates and margins and growth, pretty consistent with what we said previously, consumers, high single-digit, low double-digit type of growth segment with similar margins that you saw this quarter. And then business payments would be a mid- to high-teens growth business with similar margins and take rates as you saw this quarter -- margins that you saw this quarter. And so one thing that could -- from a take rate perspective, we are signing more enterprise accounts, and that sometimes those come with slightly lower take rates, but we're able to manage our costs and so have similar gross profit margins. And there's also potentially a mix towards B2B and Business Payments, which has slightly lower take rates than the overall, but there's no pressure other than those dynamics. 
Steven Kwok: And then my follow-up was just around you had a nice quarter, kept guidance the same. Just as we think about where are you relative to your prior guidance, should we think about with the better-than-expected results, perhaps you could be at the upper end of the range? Maybe what are the different factors that's incorporated into your guide? 
Timothy Murphy: Yes. I mean we feel good about Q1 results, really strong trends into Q2 are similar to what we would have expected, consistent coming out of Q1, there was seasonality impacts from tax refunds in Q1. Typically, Q2 is slightly down from that. And we are lapping a large enterprise win from prior year and actually multiple enterprise wins so that we're taking that into account with our outlook. And then just given the timing of where we are in the year, we're just trying to maintain conservatism and be thoughtful around that. So that's how we're looking at the rest of the year. 
Operator: Next question, Peter Heckmann with D.A. Davidson. 
Peter Heckmann: I just wanted to check in on the B2B AP automation. When you're winning there, are those typically competitive takeaways or are those kind of first effort to move away from paper-based payment methods? 
John Morris: Peter, this is John. Those are all net new. Most of it is green space, white space. For example, as I mentioned on the call, the example of the food distributor. Our ability to just drive that digital transformation is there. And so we're seeing many of those opportunities. There are occasional takeaways, but many of our verticals, this is all net new. 
Timothy Murphy: Yes, Country Pure Foods is the example of Pete, that John is referencing, and they went from 100% paper-based when we started with them to over 60% digital today with 30% virtual card adoption, and we think they can grow to 80% digital because they adopted our unique TotalPay solution. So that's a great case study of just educating a client on the benefits of AP automation, AP payment execution, and you can see those results. 
Peter Heckmann: What was the time frame they were able to do that in? 
Timothy Murphy: It's just a few months. I mean it happened very quickly. They adopted the solution quickly. They really embraced outsourcing their payables function. They outsource the TotalPay solution so we could handle all their forms of payment. And because of our supplier network and our unique approach to vendor enablement, we were able to achieve these types of digital payment and virtual card adoption rates. 
Peter Heckmann: And then just a quick follow-up. Have you seen any change in, or I guess any perception of upcoming change in terms of auto loan originations, either on the new or used side things like new is tracking a little bit higher used might be a little still bit sluggish? 
John Morris: Yes, that's right. No real change. I mean we keep an eye on the used car prices and how those are trending and that should be a good indicator of affordability and what that means for used car financing, but there's really not any significant change from the last time we spoke. 
Operator: Next question, Joseph Vafi with Canaccord Genuity. 
Joseph Vafi: Maybe if we could get a little bit of an update on a couple of the verticals, maybe the latest update on your auto OEM integration and what the pipeline there may look like. And we haven't heard, I think, a ton recently on mortgage, maybe an update there as well. And maybe I have a quick follow-up. 
Timothy Murphy: On the auto captive, as I mentioned, we're in the process of going live with that, and we expect it to be processing in late Q2 and ramping throughout the second half of this year, and that will be a multiyear growth opportunity, Joe. We're very excited about that, and we've done a lot of work on that. And we've been building a pipeline of additional captives, and we've intentionally gone upmarket with some of our sales hires to address the enterprise space across really all of our consumer verticals, not just auto, but auto is a good example. So that's a second half contributor and then I guess at multiyear growth opportunity as the business continues to ramp. In terms of mortgage, I mean, we see a lot of positive signs there. And it's not in our forecast. It's not in our outlook, but we're continuing to progress and there's certain clients that we've identified that we think we'll adopt the debit solution, and that's progressing nicely. 
John Morris: Yes. And I mentioned as well on our call about a larger credit union we just brought on board, which is one of the largest top 50 credit unions. They do a good bit of auto lending as well. So our ability to continually enhance that overall consumer digital experience. We're seeing really positive traction in the credit union space. 
Timothy Murphy: It's been an area of strength for us, Joe. You see we added 15 this quarter and that we're now up to about 290 credit unions out of just under 5,000 across the U.S. We're signing really large credit unions. We have the right software integrations in that space, and we have all the different payment capabilities that give us the ability to win. 
Joseph Vafi: And then I mean, you've got a lot of software partners now, which is great. And I imagine that some are better producers than others in driving revenue. And just kind of how you look at that large portfolio of software partners now in terms of where maybe how much penetration do you have there with their end customers? And of the 266, is it like half of them are bigger producers or just trying to understand how some of those numbers work with a pretty large partner network now? 
John Morris: Yes, it's different by vertical in reality. So you know that we are vertically specific even in consumer payments and even in business payments. On the business payment side, some of those partnerships of their ERP systems are very broad and very, very large. But even inside of that world, we try to hone in on the verticals inside of those ERP systems. But also on the Business Payments side as well, we really think there's tremendous growth opportunities in the outer years for these large enterprise software ERP platforms such as like a Blackbaud that really manages the entire workflows. We think the monetization of payments has many long years associated with that. We assign our individual vertical leads to these areas. We have almost -- we kind of have somewhat of a pod related to these verticals, so we can be vertical experts as well as payment experts as well as the software expert around the channel we're going through. They vary in size, as you indicated, some that deal with very large enterprises and then have medium. So we focus on medium to enterprise. There are some, especially in our consumer payment side that would have some smaller type clients. We are typically in the medium to enterprise level there. Some are more sophisticated than others, but we have individual team members assigned to drive that with marketing campaigns associated with that. We like a lot of our sales sequencing around that. We like the way some of the areas that we're focusing on is we are prioritizing around many of those as we refresh some of our integrations around some of our product features and functionality as we open up more of those payment modalities that in itself drives capture drives -- that pay anywhere in any way any time as the consumer wants to pay, even as the business wants to pay. Our TotalPay solution does that. That is a significant opportunity. That one-stop shop, single payment is very valuable in itself. And our clients want to be able to move money all the different ways and have one single provider that can help them do that fully embedded in that. We'll continue to drive that home as we build that out and prioritize that by individual systems, which we do evaluate by opportunity. 
Operator: Next question, Mike Grondahl with Northland Securities. 
Mike Grondahl: Two questions. First, was the contribution from tax season this year, was that outsized compared to the last couple of years? Just kind of curious if you can quantify that at all. And then secondly, I know we're still a ways from the election. But do you have any sense or feel if the revenue related to that is looking a little better or a little worse? Just any color there would be helpful, too. 
Timothy Murphy: On tax refunds, we track those very closely with IRS data very similar to the prior year. So it was in line with our expectations. It wasn't necessarily a greater contribution than prior periods of what we expected. So very similar trend there. And then with political, we're still expecting -- we compare to what we did in 2022. In 2020, a little over $6 million of gross profit and we think that business can grow about 20% this year, given it's a presidential cycle. We'll have a lot more visibility leading up into the election just a few months before as to how that 20% looks. But right now, we're still anticipating 20% growth on the $6 million or so GP in 2022 cycle. 
Mike Grondahl: And lastly, any updated thoughts on the macro, whether that's consumer driven or rates? Are you seeing anything there to call out? 
Timothy Murphy: As we just mentioned, I mean, very similar to what we talked about during the last call, the auto is similar, like I just said, and we're seeing similar trends across some of the other end markets. So what we try to do with our planning is taking into account the most recent run rate trends we see, both in our own business and in the macro and bake those into the rest of the year forecast. So nothing's really materially different than what we saw before. 
John Morris: Stable, healthy consumer with a stable healthy job market. 
Operator: Next question, James Faucette with Morgan Stanley. 
Unknown Analyst: This is asking a question on behalf of James. So given the strong free cash flow, could you provide an update around capital allocation, maybe what you're seeing in terms of M&A pipeline currently, how valuations are trending? And maybe what verticals might be most interesting to you? 
John Morris: Yes, I'll start. Specifically, we still think for all the reasons we talked about on the call, and you've heard us say before, organic growth with the total addressable market they're sitting in front of us and ahead of us. We still think it's very valuable. And we're going to continue to drive our organic opportunities, which we're doing and we're executing on always. And the Consumer Payments, we're going to drive more investments in our enterprise sales, which is embedded in what we're seeing we're going to do and then obviously enhancing our integrations as we talked about on a couple of those questions there. And then Business Payments, like I was mentioning on our enterprise software integrations, we think there's significant opportunity for us to continue to invest there. Obviously, we're going to continue to enhance over our implementation, enhance our ERP partnerships, building out our overall network of suppliers. We think there's great value in our 279,000 plus suppliers today. We see significant opportunity as we continue to add there as we bring on new clients by vertical. We actually like to do that by vertical as well. And then overall automation, we desire to be larger to drive scale. We think it's a great opportunity for us to do that in payments. We're obviously using things with AI to try to drive more efficiencies in our business, operational, client, customer service, implementation, things around that with automation. And then I'll let Tim maybe speak to the M&A side. 
Timothy Murphy: Yes. To add to that, like John said, our #1 priority from a capital allocation endpoint is organic growth and funding additional organic growth and for all the reasons John described. And then we like to balance our net leverage against managing the convert liability. And so that's another priority of ours. And from an M&A perspective, we do have an in-house team that is sourcing deals, evaluating deals and we haven't done an acquisition close to 2.5 years. So we've been remaining disciplined on that front, but we do have a very healthy pipeline building. And we're in various stages of discussions with targets across Consumer Payments end markets and then Business Payments end markets. We like the AP vertical a lot within Business Payments, and there's a number of targets we see there to build out either our number of verticals we're in, supplier network, a number of ERP integrations and just generally add scale to our Business Payments segment. So those are some of the areas we're focused on, and we will continue to be disciplined. 
John Morris: There's some potential attractive tuck-ins. 
Operator: [Operator Instructions] Next question comes from Pat Ennis with UBS. 
Patrick Ennis: So on -- I mean, you've talked about competition and coming across the traditional scaled payments companies such as Global Payments, Worldpay, Fiserv and not really coming across those guys as much. It's been some time since you've talked about these competitors in your core consumer finance markets. Could you maybe touch on how that market has evolved if those comments still hold for the most part? 
John Morris: Those comments still hold. Those specific ones you named, I don't recall in any particular bake-offs or if we're competing against someone those particular names. We have the unique integrations that really make these things. Our vertical focus go-to-market is unique with our unique products around that. If you don't have all those features functionalities with those unique integrations -- and so we just don't -- we don't bump into those specifically. It doesn't mean we couldn't. And in reality, we've got a healthy pipeline, and we're winning. 
Timothy Murphy: I'll add to that, mainly focused on consumer, like John said, we don't typically see those names. And one of the reasons we've chosen to address these end markets is because they're not only very large, but they're underserved from a payment perspective and underpenetrated from a card perspective. And so we really like our position in those end markets within consumer. And then in the Business Payments side, as we touched on earlier, most of these are not competitive takeaways. They're just moving clients off of paper-based legacy forms of payment on to digital payments, specifically virtual cards. And we just -- it's an education to the market of why they should be outsourcing their payables versus your real competitive dynamics. 
Operator: I would like to turn the floor over to John Morris for closing remarks. 
John Morris: Thank you, everyone, for your time today. We had a solid start to our year with double-digit organic growth. We continue to make progress on our strategic initiatives as we talked about on our call. We are excited about this multiyear growth opportunities that we've also talked about that we think can give us fantastic opportunities even in the outer years. And our execution of our 2024 outlook, we continue to execute on that to accelerate free cash flow, which we think we'll be able to do that for the continuation of this year to hit our goal for 2024. Thank you for joining us today. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. And thank you for your participation.